Operator: Ladies and gentlemen, thank you for standing by. Welcome to the United States Steel Corporation 2016 Second Quarter Earnings Call and Webcast. During today's conference, all phone participants will be in a listen-only mode. Later, we will conduct a question-and-answer session. Instructions will be given at that time. As a reminder, today's conference is being recorded. I would now like to turn the conference over to your host, Mr. Dan Lesnak. Please go ahead.
Dan Lesnak - General Manager-Investor Relations: Thank you, Shannon. Good morning, everyone, and we appreciate you joining us today for our second quarter 2016 earnings conference call and webcast. On the call for you today will be U.S. Steel President and CEO, Mario Longhi; and Executive Vice President and CFO, Dave Burritt. We posted our slide presentation and prepared remarks under the Investors section of our website when we released earnings after the market closed yesterday, to provide everyone with a better opportunity to prepare for our call. We will not be repeating the presentation or remarks on this morning's call. We will be begin with some brief introductory comments from Mario, and then proceed directly to the question-and-answer session. Before we begin, I must caution you, today's conference call contains forward-looking statements and that future results may differ materially from statements or projections made on today's call. For your convenience, the forward-looking statements and risk factors that could affect those statements are referenced at the end of our release in the slide deck posted on our website, and are included in our most recent annual report on Form 10-K and updated in our quarterly reports on Form 10-Q in accordance with the Safe Harbor provisions. Now, to start the call, I will turn over to our CEO, Mario Longhi.
Mario Longhi Filho - President, Chief Executive Officer & Director: Good morning, everyone, and thank you for joining us today. We are encouraged by the improvements we are currently seeing in our results as the significant changes we have made to our business model have greatly enhanced our earnings power by creating a lower cost structure, and by improving our commercial position. We have seen a steady increase in our mix of value-added products, from 62% of our Flat-Rolled shipments in 2013 to 70% of our shipments, today. We are well-positioned to deliver strong results under current market conditions. However, our Carnegie Way transformation is about more than just short-term results. Our aspiration to become sustainably profitable has not changed. As we keep our Carnegie Way strategy in action, we can unleash considerable value. Our commercial entities, and ultimately our employees are driving customer focus and value creation by succeeding in both product development and process improvements. We have our employees focused on developing new ideas for process, system, method, service, product and technology that advances our operating performance, customer satisfaction and stockholder value. Going forward, our ability to keep executing on and implementing these ideas will determine our ability to be able to differentiate ourselves on both processes and products, and to continue to drive structural cost improvements. Our many successes over the last two years have provided a platform that we'll use to become a true business partner and solutions provider to our customers, and create the sustainable earnings that will translate into value for our stockholders, employees and other stakeholders.
Dan Lesnak - General Manager-Investor Relations: Thank you, Mario. Shannon, can you please queue the line for questions?
Operator: Thank you. And the first question comes from the line of Curt Woodwort with Credit Suisse. Please go ahead with your question.
Curt Woodwort - Credit Suisse Securities (USA) LLC (Broker): Yes. Thank you. Good morning.
Dan Lesnak - General Manager-Investor Relations: Good morning, Curt.
Mario Longhi Filho - President, Chief Executive Officer & Director: Good morning, Curt
Curt Woodwort - Credit Suisse Securities (USA) LLC (Broker): Mario, when you look at your Flat-Rolled cost structure this quarter relative to a year ago, it fell roughly $100 a ton despite the fact that you've got idle costs in there for Granite City, you've got obviously the Gary outage, and what I assume is a much more expensive product mix. So can you give us a sense of what the contribution was as the decline between say, raw materials and conversion, and do you feel like that's a sustainable unit cost number going forward?
Dan Lesnak - General Manager-Investor Relations: Hey, Curt. This is, Dan. When you look at that, the raw materials change year-over-year that you're looking at is probably in the range of about $25 a ton. The rest of it is really going to be more of the structural and controllable costs for improvements we've made.
Mario Longhi Filho - President, Chief Executive Officer & Director: Yeah. And Curt, this progress is sustainable, and the Carnegie Way processes, we've trained about 10,000 people. The methodologies have been implemented. People continue to lure, and they continue to generate great ideas for improvement. So, we're not done yet.
Curt Woodwort - Credit Suisse Securities (USA) LLC (Broker): Okay. And thank you for that. And then, just as a follow-up; you're one of the large unsecured creditors to the former Belco (05:36) assets you acquire, and I'm sure you're following the process up there; but KPS and Essar are no longer in the bidding process; and it looks liquidation of that asset is becoming more likely. I think that Gary is producing roughly 2 million tons, 2.5 million tons. I'm just wondering, are you seeing any evidence from the customer bay that's talking to you about potential eventualities of that outcome? And do you have any kind of color on how you see it playing out?
Mario Longhi Filho - President, Chief Executive Officer & Director: No. I mean, we've been a participant in this process as a creditor as of late. And we just keep watching and engage with the proper parties over there, and I think, we're getting close to a conclusion of that process.
Curt Woodwort - Credit Suisse Securities (USA) LLC (Broker): Okay. Thank you very much.
Operator: The next question comes from the line of Matthew Korn with Barclays. Please proceed with your question.
Matthew J. Korn - Barclays Capital, Inc.: Hi. Good morning, everyone.
Mario Longhi Filho - President, Chief Executive Officer & Director: Good morning.
Matthew J. Korn - Barclays Capital, Inc.: So, we saw a substantial quarter-over-quarter turn over there at USS Europe, and its profitability. When you're looking at orders and the shipments so far this quarter, is that volume strength holding in the third quarter? And as you expect higher prices, you mentioned for the – going into the rest of the year, is there anything to make you think that, that profitability performance can continue in the second half?
Mario Longhi Filho - President, Chief Executive Officer & Director: Well, they're operating at a very good level, and we've seen a steady consistent level of improvement in the quality of their operations. They're really performing well, and I think that we can look forward to, everything else being maintained as such, to another great performance from Europe.
Matthew J. Korn - Barclays Capital, Inc.: Got it. Let me follow up, Dan, on the – on some of the issue of trade. I know you've been happy with the final terminations seen so far for sheet steel. And now, looking ahead at the hot-rolled case, the pricing that we've seen where Korea receives a substantially higher final duty rates in the preliminary numbers. What's your view on how meaningful a similar result could be on hot-rolled pricing as Korea still believe – I believe still supplies the plurality of HRC imports into the U.S.?
Mario Longhi Filho - President, Chief Executive Officer & Director: Well, we certainly are pleased to the outcomes that we've seen so far. And that's proof that the level-playing field is being established. And under those conditions, the industry should be able to benefit from everything that we do that's really good, but it gets undermined when the level-playing field is not leveled. So, in the next couple of weeks, we're going to see the final determination on the last two cases, and the preliminary ones have been very positive. And with the ITC rectifying what we've seen, it should really create a much better playing field for us to be able to play in this environment. And we really do expect and look forward for significant results. America needs our country to enforce our laws..
Matthew J. Korn - Barclays Capital, Inc.: Oh, thanks very much, fellows. Have a great rest of quarter.
Mario Longhi Filho - President, Chief Executive Officer & Director: Thank you.
Dan Lesnak - General Manager-Investor Relations: Thank you.
Operator: The next question is from the line of Gordon Johnson with Axiom Capital Managment. Please go ahead with your question.
Gordon Johnson - Axiom Capital Management, Inc.: Hey, guys. Thanks for taking my question.
Dan Lesnak - General Manager-Investor Relations: Good morning, Gordon.
Mario Longhi Filho - President, Chief Executive Officer & Director: Good morning.
Gordon Johnson - Axiom Capital Management, Inc.: So, I'm just thinking about the OCTG case, and looking back on that case, it was filed against China; and China seemingly has dominated the U.S. market. It was blocked, and for a while, OCTG imports were down, and then they picked back up as South Korea kind of replaced China. And when I look at U.S. Steel imports adjusted for July, the number was updated last night, it looks like they're going to be up roughly 9% month-over-month, and up for three straight months now, and looking like, July is going to be the highest month in over a year. So, it looks like imports are now starting to pour back into our shores. And when I look at places like Vietnam, that went from nothing to something, and thinking maybe some other countries could do that, is there a risk in your view that we could get a flood of imports given the differentials between U.S. prices and international prices? And then I have a follow-up.
Mario Longhi Filho - President, Chief Executive Officer & Director: Well, I guess, on the OCTG case, you saw, the margins that were determined to – certainly it didn't reflect the nature of the situation that we had. And you can see that still being present and earnest today. Now, one of the issues that we see, that can happen that we're trying to address is the problem of – you still have transshipment taking place, you still have false labeling taking place. So, the risks are real, but we've been working diligently to address them. And I think, if you look at the fact tha the ENFORCE Act now being put into law, there are much better ways in which we can track and address some of these practices that have been inhibiting the true market forces to prevail in every case.
Dan Lesnak - General Manager-Investor Relations: Hey, Gordon. This is, Dan. One other thing to think about is, the tons you're seeing coming in now are based on lead times from orders from really before the big price movement started. And then the orders really dropped off. So, anybody who starts ordering now, the spread drought, you probably won't see those tons until mid to late fourth quarter at the earliest. So, I think the current volumes are based on orders from early in the year, not what's actually happening right now. But certainly, those spreads are what we're watching. And if people do start ordering, it would show up, but it would not show up until late in the year.
Gordon Johnson - Axiom Capital Management, Inc.: Okay. That's helpful. And then just, looking at the EBITDA guidance; when I think about the Carnegie Way cost savings, which have been impressive, billions of dollars of cost savings, and I look back to 2014, when you did about $1.4 billion in EBITDA. And in that year, HRC prices averaged $658 per ton. So, fast-forwarding to the second half, assuming prices stay where they are at $624 per ton, you're talking about on an annual basis, $1.575 billion in EBITDA guidance. So, I guess the question is, the differential in HRC prices in the second half of this year versus 2014 is just $34 that you shipped 14 million net tons in 2014 versus roughly we're estimating 11 million net tons this year. So, I guess the point is it seems like the cost savings aren't flowing through to the EBITDA when just comparing 2014 versus the second half of this year. So could you maybe help me out understand that? Maybe, I'm missing something there.
Dan Lesnak - General Manager-Investor Relations: Actually, Gordon, actually there's a good presentation that's in our earnings call from a couple of quarters ago, and also in our 10-K. As the bridge structure shows you how you can find that by stripping out the big variable raw materials components and how they move. But I guess, the one thing that I'd point out is, when you think about our prices, what you're seeing now in terms of second quarter, our prices don't reflect the current market. Those really reflect the prices from a quarter ago before the change. So, if you think about our average realized prices, what you're seeing in our second quarter results is really based on pre-price run. If you flow through the changes of CRU into your model, you should for the second half of the year, get a price realization for our Flat-Rolled segment north of $700 per ton.
Operator: The next question is from the line of Kevin Kurtz (sic) Evan Kurtz (13:10) with Morgan Stanley. Please proceed with your question.
Evan L. Kurtz - Morgan Stanley & Co. LLC: Oh, hey, good morning, guys.
Dan Lesnak - General Manager-Investor Relations: Good morning.
Mario Longhi Filho - President, Chief Executive Officer & Director: Good morning.
Dan Lesnak - General Manager-Investor Relations: How're you doing?
Evan L. Kurtz - Morgan Stanley & Co. LLC: Pretty good. So a question on Granite City. Is there a restart of Granite City included in the guide?
Mario Longhi Filho - President, Chief Executive Officer & Director: No. The Granite City sits idle until we see that market's really substantially and solidly evolved. So, we're keeping our eye on it and keeping our powder dry.
Evan L. Kurtz - Morgan Stanley & Co. LLC: Got it. Is there any way to quantify that a little bit? Just what is it – how close are you at this point, would you say, to making that decision?
Dan Lesnak - General Manager-Investor Relations: I see – I mean, demand has been pretty stable across all the markets. So, I mean, I don't think we've seen much demand change at all, so I don't think our position has changed very much in the last few months.
Evan L. Kurtz - Morgan Stanley & Co. LLC: Got it. Okay. And then just a question on your outlook for OCTG, we have seen the rig count at least show a little bit of signs of life. I imagine some of the inventories are starting to dwindle for some products. What's your view on the timing of a recovery potentially in OCTG, and maybe some thoughts on 2017, there?
Mario Longhi Filho - President, Chief Executive Officer & Director: Yeah. Nothing much more meaningful, I believe, can happen throughout the rest of this year. What it shows is probably we've hit bottom. Inventories in total are still very high. And you stated correctly, we're beginning to see some spots where there is weakness, so with very short lead times, we're – that's how we're operating. And rig counts came up just a little bit, but inventories in general are still very high. So, I think we're going to have to wait through next year and see what happens. Geopolitical forces in North America will still have the volatile environment, and the political environment. So, we don't know how the Fed is going to act. So, there are so many things up in the air that people are still going to be cautious as to how they bring more capacity to life.
Evan L. Kurtz - Morgan Stanley & Co. LLC: Understood. And then just one last one on maintenance; do you have anything scheduled for the second half?
Dan Lesnak - General Manager-Investor Relations: Yeah...
Mario Longhi Filho - President, Chief Executive Officer & Director: Yes, we do. We have some maintenance that is scheduled, I believe, for October at Granite City.
Dan Lesnak - General Manager-Investor Relations: That's Great Lakes.
Mario Longhi Filho - President, Chief Executive Officer & Director: Sorry, Great Lakes.
Dan Lesnak - General Manager-Investor Relations: Yeah. But we do have about a 25-day blast furnace outage set up for the fourth quarter in Great Lakes, right now.
Evan L. Kurtz - Morgan Stanley & Co. LLC: Got it. Okay. Thanks, guys.
Mario Longhi Filho - President, Chief Executive Officer & Director: Sure.
Operator: And the next question is from the line of Dave Gagliano with BMO Capital Markets. Please proceed with your question.
David Francis Gagliano - BMO Capital Markets (United States): Great. Thanks for taking my question. And first of all, I want to thank you for providing the presentation and the prepared remarks ahead of time. I think, that was a great idea. And let's just cut to the chase, and love it for other companies to do the same. So along those lines, cutting to the chase; the question I have was related to volumes. I was wondering if you'd just give us a sense as to the volume expectations over the next couple of quarters, directionally? And along those lines as well, the utilization rates in Europe obviously phenomenal over 100% this quarter. What are your thoughts with regards to opportunities to grow that business further, most likely via capital investment and things like that? Thanks.
Mario Longhi Filho - President, Chief Executive Officer & Director: Well, we do have certainly several projects that we're contemplating going forward. But we haven't quite stopped doing it. There are so many investments that we're making, that are making us so much better, and there's still opportunity for improvement within what we have. So, the opportunity for growth is real, it is happening. And what we are considering, it's really more value rather than just volume. And you're seeing that, as I referred to my initial remarks here, we continue to evolve into that chain. We're doing well, and that's sort of an important feature as we think about how we go forward.
David Francis Gagliano - BMO Capital Markets (United States): And that's – sorry, just – so two quick follow ups; that's specific to Europe or is that across the chain, number one? And then number two, can you talk a little bit about your volume expectations in the third quarter and the fourth quarter, specifically in the U.S.? Thank you.
Mario Longhi Filho - President, Chief Executive Officer & Director: Yeah. My comments are for the whole system. I think, we have a little more opportunities given the fact that we're not fully yet everywhere in North America. But I think, volumes for both are pretty consistent as we look forward for the rest of this year.
David Francis Gagliano - BMO Capital Markets (United States): Okay. Great. Thank you very much.
Mario Longhi Filho - President, Chief Executive Officer & Director: Sure.
Operator: The next question is from the line of Michael Gambardella with JPMorgan. Please proceed with your question.
Michael F. Gambardella - JPMorgan Securities LLC: Yes. Good morning, Mario, and congratulations on all the hard work that shows some great results.
Mario Longhi Filho - President, Chief Executive Officer & Director: Good morning, Mike. Thank you.
Michael F. Gambardella - JPMorgan Securities LLC: You're welcome. Look, I have a couple of questions. On the guidance that you gave, at the current level of market activity, you're basically saying, you're at a run rate that was $1.6 billion in EBITDA, with the way you expect this for the year, given that you are near breakeven for the first half, is that correct?
Dan Lesnak - General Manager-Investor Relations: That's right.
Mario Longhi Filho - President, Chief Executive Officer & Director: Yes, that's right, Mike.
Michael F. Gambardella - JPMorgan Securities LLC: Amazing. Now, how – at $1.6 billion EBITDA run rate, what percent of your book is not getting any type of price increases? So, what percent of the book is locked up at low pricing and won't be renegotiated until the end of the year?
Dan Lesnak - General Manager-Investor Relations: Mike, as we said now, about 40% of our Flat-Rolled volumes are on those annual contracts that aren't moving. But like I said, these quarterly adjustables are about 20%, spot's about 25%, monthly adjustables are the difference. So, as I mentioned, you'll see that really flowing through, particularly when you look at the month – the quarterly adjustables, second quarter CRU was much, much higher than first quarter. And well, that's where we'll really the benefit on in the second half. So – but you're right, about 40% of our volumes, we don't get a change on those until we get to year-end, early next year price negotiations. And that will really be determined by where markets are when we get later in the year, here.
Michael F. Gambardella - JPMorgan Securities LLC: Hopefully. And then, a question on trade. It seems like the market appears to be very concerned about trade flows increasing, particularly from Korea. With the hot-rolled's final determinations coming up, has Korea and particularly, POSCO gets a high number, my assumption and belief is that, a large percent, the vast majority of Korean hot-rolled exports to the U.S. are actually being sold through your operations, a joint venture that you have with POSCO in California and Pittsburgh, California, the UTI (20:42) facility. If POSCO gets hit with a very large task on hot-rolled, are you – do you have the supply of hot-rolled to the West Coast operations or is that still the responsibility of POSCO?
Mario Longhi Filho - President, Chief Executive Officer & Director: Well, the impact of the final determination should flow across every single business in the United States, period, Mike. And we certainly are capable of supplying – we still have capacity available. So, the answer would be, yes, I mean, we're still ready to support the market.
Dan Lesnak - General Manager-Investor Relations: So, Mike, to your point, we have the option, but we don't have the requirements. That JV is free to source their substrate wherever they want.
Operator: The next question is from the line of Phil Gibbs with KeyBanc Capital Markets. Please proceed with your question.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Good morning.
Dan Lesnak - General Manager-Investor Relations: Good morning, Phil.
Mario Longhi Filho - President, Chief Executive Officer & Director: Good morning, Phil.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Had a question, Mario, just on (21:43-22:55).
Mario Longhi Filho - President, Chief Executive Officer & Director: ...would be lower at the end of the year. So, this is a GAAP requirement. So, certainly, the discount rate would be lower now, if we actually had to put it in place.
Philip N. Gibbs - KeyBanc Capital Markets, Inc.: Terrific. Mario, on the Section 337, I know there's been some back and forth thing with the government agencies looking at the case. Can you give us an update in terms of where that stands, and what we should be looking for moving forward; because obviously, not a lot of us have dealt with this in recent history? Thanks.
Mario Longhi Filho - President, Chief Executive Officer & Director: Yeah. The Section 337 had a little bit of a technicality, but I think it's being overcome, and we should see a continuation of the process going forward in earnest very, very soon. The ITC and the Department of Commerce are very supportive of our position. So, nothing in our view has changed, and we do have very high expectations that this is going to be a positive for the industry as a whole, not just for us.
Operator: The next question comes from the line of Timna Tanners with BoA Merrill Lynch. Please proceed with your question.
Timna Beth Tanners - Bank of America Merrill Lynch: Okay. Hey, good morning, everyone.
Dan Lesnak - General Manager-Investor Relations: Good morning.
Mario Longhi Filho - President, Chief Executive Officer & Director: Good morning.
Timna Beth Tanners - Bank of America Merrill Lynch: So, I know that you've been doing this, and you clarify on the presentation of 2016 outlook, and what it contains, but I'm still little bit confused when you talk about today at current levels, spot prices cuts from an end, et cetera. Are you talking about the expected second half demand and expected second half – I know you're talking about today's spot prices, right. But are you doing any forward look at what you see seasonally or imports doing or rig counts doing or is it all precisely a snapshot today?
Dan Lesnak - General Manager-Investor Relations: Yeah. We're not speculating on what markets do. So we're just trying to give you a good benchmark to work from. So and now obviously, when you talk about spot prices today, there is a flow through into our contracts based on structure in place...
Timna Beth Tanners - Bank of America Merrill Lynch: Sure.
Dan Lesnak - General Manager-Investor Relations: ...we certainly – that's certainly built in there.
David B. Burritt - Chief Financial Officer & Executive Vice President: But we tried to really take the speculation out just to give you a good starting point to work from.
Timna Beth Tanners - Bank of America Merrill Lynch: Okay. So do you expect seasonal demand in Europe as normal in the third quarter? It sounds like not. That was one question. The other one is, if rig counts change in the second half, because you're saying at current levels; will that change your view much given the amount of inventory, is there much change in tubular as you can see it here; and now, even if rig counts continue their upward trajectory in U.S. land?
David B. Burritt - Chief Financial Officer & Executive Vice President: I think, at the slow pace they're moving; there's probably not a lot of change based on rig counts. As you might think, as Mario mentioned, that you might start seeing some bigger holes in the inventory out there, but that's about it.
Timna Beth Tanners - Bank of America Merrill Lynch: Okay. And then, on the Europe question?
David B. Burritt - Chief Financial Officer & Executive Vice President: Well, I think – I don't think there's anything out there that says, the markets aren't going to behave like they have.
Mario Longhi Filho - President, Chief Executive Officer & Director: For example, especially where we are, Timna, the Big Four continues to be more resilient than many of the other areas in Europe, and we've seen virtually no impact from Brexit. Everybody still continues to operate fairly well. The flows in and out are still very solid. So we're looking forward to the rest of this year in Europe, too.
Timna Beth Tanners - Bank of America Merrill Lynch: Okay. That's helpful. Can you talk a little bit more and elaborate separately on your comment in the presentation about how you're working to strengthen the balance sheet and "constantly evaluating all options to improve your position?" What do you mean by that?
Mario Longhi Filho - President, Chief Executive Officer & Director: Well, that's an area of focus that we've had since day one. Cash and balance sheet are key components of our ability to be sustainably profitable to invest, and continue to develop. Our team has done a superb job with issues that we've had last couple of months. We've expanded our obligations all the way now to 2020, 2021; which gives us a lot more flexibility not only to eventually deal with the volatility that we see in our markets, but it gives us a better condition, then, to position priority projects and keep moving forward on it.
David B. Burritt - Chief Financial Officer & Executive Vice President: Maybe I'll just add to that, we always say here, cash is king. We must keep strong liquidity. It's really important to us. It's just not for earning the right to grow, but also, when we do a pivot to growing the business. So, we feel more comfortable with more cash on the balance sheet. And so we're continuing to focus on that. So you see our $820 million in cash increased from before (27:47), and of course there are refinancing of our balance sheet. But we're not done yet. We believe we should carry enough cash to be very flexible no matter what the economic conditions will be. And that may mean going down or going up. We're going to make sure that we carry enough cash to be very responsive to the marketplace, and ultimately help us grow the business.
Operator: Next question is from the line of Seth Rosenfeld with Jefferies. Please proceed with your question.
Seth Rosenfeld - Jefferies International Ltd.: Good morning. Just couple of follow-up questions on your European business; you obviously saw very strong Q-over-Q volume growth in the region that seems to be outpacing perhaps what we've seen from the broader European market, and where apparent demand would be for the industry as a whole. Can you just comment to what extent that's driven by share gains, either versus your domestic peers or versus imports? And then beyond that, there's obviously some major trade cases in hot-rolled coil in Europe, perhaps gradually moving them the same route as the U.S. market has seen over the past year. Given that you've had a very good experience in the U.S. with rising prices of imports drift lower, do you think that you're moving in that same direction as well or do you have a general view on where trade policy is projected in that area? Thank you.
Mario Longhi Filho - President, Chief Executive Officer & Director: Well, our European operations have been remarkably consistent in their ability to improve both from their operating performance, as well as the repositioning of their mix and bringing forward some innovation that is serving them well. I think we've performed like second to none. The customers are supporting every initiative that we've had with them. We believe, like I said, we're in a region of Europe that has performed better than the rest, and we see that continuing. The other part that is becoming very positive in Europe, if you look back up until last year, Europeans were much lower in recognizing that the level-playing field was unleveled for them, also. While we were making a lot of progress here in United States, both form the excellent fielding of cases as well as the repositioning of the law. So, the level-playing field is now much more robust in terms of being preserved in United States than it has been in Europe. But we've been working in parallel with European Union to bring to their attention how critical the situation was for them. And as of early this year, we began to see a shift. Trade cases are being put in place in there. There is an enormous amount of discussion on how damaging some of the abuses have been, and they are moving to enforce the law just like America is doing, it's beginning to take hold. So, we really should have a condition in Europe where you're going to see the people that don't play by the rules are going to be barred from playing at all. So, it's very positive what is taking place.
Seth Rosenfeld - Jefferies International Ltd.: All right. Thank you.
Mario Longhi Filho - President, Chief Executive Officer & Director: Sure.
Operator: The next question is from the line of Jorge Beristain with Deutsche Bank. Please proceed with your question.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Hey, guys. Good morning and congrats on the results. My question just is, what were specifically the maintenance and outage costs in the second quarter for Flat-Rolled?
Dan Lesnak - General Manager-Investor Relations: All right. So we would just point out they were higher in the prior, but they were not – we'd say material. They were not – it was a normal planned blast furnace outage that we had. It wasn't a reline; so was the maintenance outage. So, I mean, it's just a change quarter-over-quarter, but it's starting on an unusual spend for us. It's just really – you can't really smooth it out across the quarter. It just gets lumpy. That's why we tend to call it out when there's a change quarter-to-quarter.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Okay. And then just, maybe following up on the questions in the – sorry, in the comment in the press release, where you said that your guidance on a go-forward basis could be subject to change, but then it seems from your earlier comments that a lot of – the oil and country tubular goods is not really not going change. Europe seems to be on pace. So, just trying to understand what kind of change you're in toning there? Is that the risk of a correction in HRC prices down or what did you mean by those comments?
Dan Lesnak - General Manager-Investor Relations: I mean, all we're saying is, we're giving you a one scenario, and we're acknowledging this. The markets do change. You should expect our numbers to change. We're not speculating – we don't have a theory out there on it. But we're just saying, if things stay the way they are and we stay at $850, if you think prices are going to come off, then you will probably come up with lower number. If you think someone's going to go the other way, you'll come up with a higher number. It's just our outlook on what happens if you would dollarize where things stand today. So, what we're saying is, if things change you should expect our number to change.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: Okay. And then just last question, any plans you can comment on for your $161 million of notes due 2018?
David B. Burritt - Chief Financial Officer & Executive Vice President: Well, I think we're still looking at – no, I think we have a very manageable maturities now. We understand that they'll be coming. If we see an opportunity there's no reason we wouldn't exercise that opportunity. But right now, we're pretty comfortable where we are. I don't think you'd want to go out and pay big premium to clean up some of that small of a number, particularly since we are building cash right now, and are clearly strong.
Jorge M. Beristain - Deutsche Bank Securities, Inc.: All right. Thank you.
Operator: The next question is from the line of Tony Rizzuto with Cowen & Company. Please proceed with your question.
Anthony B. Rizzuto - Cowen & Co. LLC: Thank you. And good morning, and thanks for taking my questions.
Mario Longhi Filho - President, Chief Executive Officer & Director: Good morning, Tony.
Anthony B. Rizzuto - Cowen & Co. LLC: Hi, Mario. In Europe, on the trade front, given the time line, when would you expect to begin benefiting there?
Mario Longhi Filho - President, Chief Executive Officer & Director: Well, it comes pretty quickly after the final determinations take place. The resolutions in Europe are – they take longer. I mean, if you see the complicated environment that we go through here in America, the European Union is significantly more complicated, but it will take at least a quarter before we begin to see that play in full.
Anthony B. Rizzuto - Cowen & Co. LLC: Okay. And in the past, Mario, and I think, David, you've also talked about rising import pressures in tin mill. And are there any trade cases underway there?
David B. Burritt - Chief Financial Officer & Executive Vice President: Look, Tony. We keep looking at this whole area that we participate in very carefully. And I believe, by now you've seen we will never hesitate taking action whenever the situation warrants it.
Anthony B. Rizzuto - Cowen & Co. LLC: Okay. And then are you seeing any green shoots of note in your industrial end markets?
Mario Longhi Filho - President, Chief Executive Officer & Director: We are with the exception of the areas of mining and agriculture. There is a lot of good work that we're doing with our customers in that arena. But those areas are still pretty slow.
Anthony B. Rizzuto - Cowen & Co. LLC: Okay. And then one final question. I appreciate you taking all my questions. I'm wondering on iron ore; haven't heard any questions there, but what is the current balance for the Minntac facility? Are you guys in the merchant market right now? I'm just wondering how the competitive dynamics have changed. One of your competitors had some commercial successes recently. I'm just wondering what the status is there? Are you just a supplier to your own system right now? How does that dynamic play out?
David B. Burritt - Chief Financial Officer & Executive Vice President: Well, Minntac is operating extremely efficiently, and we're very, very comfortable with our current needs that Minntac can take care of that, and some more. Now, Keetac will stay idle. We certainly have the capacity to seize the opportunity, the right opportunity if it comes by. And it will remain the source of supply just whenever we decide that Granite City is going to have to come back. So, we're really very flexible and for the right opportunity, we may sell some pellets.
Anthony B. Rizzuto - Cowen & Co. LLC: Mario, if Granite City were to restart; obviously, that's a big if, and I understand your comments that you made earlier. Would you be basically in balance and obviously with Keetac online too?
Mario Longhi Filho - President, Chief Executive Officer & Director: Oh, long-term, absolutely yes. We have flexibility, there's no issues with that.
Operator: The next question comes from the line of Aldo Mazzaferro with Macquarie. Please go ahead with your question.
Aldo Mazzaferro - Macquarie Capital (USA), Inc.: Hi, Mario. How are you?
Mario Longhi Filho - President, Chief Executive Officer & Director: Good morning, Aldo. I'm well. Thank you.
Aldo Mazzaferro - Macquarie Capital (USA), Inc.: Hey, I'm trying to get a little more comfort level on the guidance; and if you don't mind, I just want to ask a couple of questions about assumptions. I heard, Dan say, over $700 of pricing, and I heard you say, relatively steady on the volume side. That leaves me with needing something like a $40 a ton or $50 a ton cost cut in the six month. And I'm wondering, without volume gains and productivity coming from that, can you give us some hints on what areas you're looking to cut out that much cost?
Dan Lesnak - General Manager-Investor Relations: Boy, I guess, Aldo, it's hard. I mean, I've lost sense on what you've got for the other segments too, because it's more than just Flat-Rolled that's flown through the numbers. But I mean, certainly, if you look at our – the pace and trajectory of our Carnegie Way progress, we keep on racking up additional savings quarter after quarter after quarter. So, I mean, that's – our assumptions of where we get to on the cost side, the things we control. That's what we control. That's built into our numbers. It's – what we're not speculating on is the market forces.
Aldo Mazzaferro - Macquarie Capital (USA), Inc.: Yeah. But I mean, what do you control other than labor costs?
David B. Burritt - Chief Financial Officer & Executive Vice President: Well, we control an enormous amount of things inside of our process, Aldo. And it's a myriad of projects. I commented before, there are folks that are coming up with thousands of different initiatives that are contributing to the outcomes, and that's going to continue. So, I think the additional levels of utilization that we've seen coming out of the repositioning on the footprint is certainly helping, also.
Dan Lesnak - General Manager-Investor Relations: I mean, in operating efficiency, materials efficiencies, process improvements, those all create those kind of benefits. So there's a lot goes on rather than just the labor piece.
Aldo Mazzaferro - Macquarie Capital (USA), Inc.: And you can do that without a volume growth, you think?
Dan Lesnak - General Manager-Investor Relations: Yeah. You can make your facilities more productive.
David B. Burritt - Chief Financial Officer & Executive Vice President: Yeah, I would like to offer to you though that, our employees are a critical and very important source of where all of these improvements are coming from. So, they are source of value creation.
Aldo Mazzaferro - Macquarie Capital (USA), Inc.: All right. Can I ask a second question; it's good to hear you say, Mario, that you want to position yourself down the road to be liquid enough for growth, and I'm just wondering, if you were to look at a crystal ball in say two years or three years out, if you were to do say acquisitions to grow, would you be looking at products that are different than flat, like long products, maybe SBQ or is the EAF technology still in there? And can you comment on the likelihood of a equity offering over the next six months? Thank you.
Mario Longhi Filho - President, Chief Executive Officer & Director: Sure. I mean, you know that we're very clear that growth is a significant part of our strategy, and to do that you have some things that come out of the organic evolution of innovation and all of that, but the crystal ball has all of those elements you mentioned, plus some, and we have a very dedicated group of analysts that are helping with that very well integrated with our commercial entities. So, the amount of knowledge that we're acquiring much more clarity on where our customers are going and what are the solutions that they're really looking for will eventually yield some new and interesting avenues for our growth. So, we're really very carefully looking at it, and that's why we really need to have the capability to do it, whenever the moment is right. We can't and won't specifically get into details, but I just can tell you that, innovation is an important thing and market analysis and what is the world around it, and where the trends are taking it are guiding our thinking as to what we're going to be doing going forward.
Operator: Next question comes from the line of Brett Levy with Loop Capital. Please proceed with your question.
Brett M. Levy - Loop Capital: Hey, guys. As your contracts kind of shift here, kind of what percentage of them are third quarter shifts, fourth quarter shifts, first quarter shifts? Just as we start to look at the adjustments to the CRU pricing, a rough sense as to sort of what the approximate timing is as you look at...
Dan Lesnak - General Manager-Investor Relations: Yeah, Brett.
Brett M. Levy - Loop Capital: ...you said your contract book is about 40%. What's the timing over the next several quarters?
Dan Lesnak - General Manager-Investor Relations: Hello, Brett. There's a pie chart at the back of our slide deck that lays out about 40% of our contracts are annual fixed. Most of those are calendar year. But we do have the pieces that are quarterly adjustable. They adjust every single quarter where the monthly adjustables adjust every single month. So, in total, about 75% of our business is contracts, but about 35% of that contract business adjusts much more frequently than annual. And that breakdown we have in the back of the slide deck, will help you see the flow on that.
Brett M. Levy - Loop Capital: Yeah. And then, in terms of the import competition that you are seeing right now, the delta between the Chinese price and the U.S. price of sheet is starting; they are pretty big. Are you feeling like you're running into any competition? And then the other piece of the puzzle is, do you feel like the way the trade cases are written that the possibility that maybe Chinese steel goes through Vietnam or Korea or somewhere else and ends up landing on our shores is somewhat precluded.
Mario Longhi Filho - President, Chief Executive Officer & Director: The last part of your question is – the answer is yes, and if you go and you read a little bit about the Section 337 that we filed, it addresses that. The Section 337 case is about addressing not only the transshipments, but there is fraud in it. There is collusion. And we cannot allow for those countries to continue to operate in that way to the detriment of U.S. companies. And that the American people are also beginning to feel the impact of that, you can look at the campaign, and see all the comments that we get about unfairness in the trading world. So, we have put the Section 337; it's really strong case. I think we will prevail in that matter. But coming out of the trade cases, you look at the margins that are being determined out there. And if you just like at the prices they've been quoting. You put those margins on it, it determines what the real honest price should be. Not the fraudulent prices they have been practiced before. So, if you just look at that, you're going to see what fairness of the market should be. And that's what we're beginning to see happen.
Brett M. Levy - Loop Capital: Thanks very much, guys.
David B. Burritt - Chief Financial Officer & Executive Vice President: Sure.
Dan Lesnak - General Manager-Investor Relations: All right. Well, thank you. We certainly appreciate everybody's interests. Mario, you have a final statement for us here, today?
Mario Longhi Filho - President, Chief Executive Officer & Director: Thanks, Dan. Before I'd sign off, I want to acknowledge and thanks our employees one more time. They have faced many challenges over the last couple of years, and they have taken on these challenges and delivered tremendous improvements to our business model. They have done so without compromising our core value of safety, which remains the foundation to the Carnegie Way, and we have demonstrated improved performance since the Carnegie Way journey began. Our safety performance measured by global total reportable injury rate has improved by almost 15%, and our Days Away From Work Rate has improved by more than 18%. We certainly still have more work to do, but we recognize we're making progress. We have dedicated and talented employees that will continue to be a driving force behind our Carnegie Way transformation. Thank you very much, and I wish you a good day.
Dan Lesnak - General Manager-Investor Relations: All right. Thank you everybody for joining us and we will talk to you again next quarter.
Operator: Ladies and gentlemen, this conference will be available for playback beginning today at 10:30 a.m. Eastern running through Wednesday, August 3, 2016 at midnight Eastern Time. You may access the AT&T playback service time by dialing 1-320-365-3844, and entering the access code of 397560. Again this conference will be available for playback beginning today at 10:30 a.m. Eastern running through Wednesday, August 3, 2016 at midnight Eastern Time. You may access the AT&T playback service time by dialing 1-320-365-3844 and entering the access code of 397560. That does conclude your conference for today. Thank you for your participation and for using AT&T Teleconference. You may now disconnect.